Operator: Good day, ladies and gentlemen, and welcome to Cardtronics First Quarter 2019 Earnings Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to introduce your host for today's call, Mr. Brad Conrad, Executive Vice President and Treasurer. Mr. Conrad, you may begin.
Brad Conrad: Thank you. Good afternoon and welcome to Cardtronics first quarter 2019 conference call. On the call today, we have Ed West, Chief Executive Officer; and Gary Ferrera, Chief Financial Officer. We'll start today with prepared remarks and then take questions. Before we begin, a cautionary statement regarding forward-looking information. During the course of this call, we will make certain forward-looking statements regarding future events, results or performance. Any forward-looking statements made on this call are subject to risks and uncertainties, including but not limited to, events, market conditions and other risks and uncertainties that could cause actual results to differ materially. Please refer to our earnings release and our reports filed with the SEC, including our Form 10-K for the year ended December 31, 2018, which describe forward-looking statements and risk factors and other events that could impact future results and other factors that could impact our business. The statements on this call are made as of the date of this call and are based on current information and may be outdated at the time of any replay of this call. We assume no obligation to update any forward-looking statements made today to reflect events that occur or circumstances that exist after the date on which they are made. In addition, during the course of this call we will reference certain non-GAAP financial performance measures. Our opinion regarding the usefulness of such measures, together with a reconciliation of such measures to the nearest GAAP measure, is included in the earnings release issued this afternoon and available on our website. We've also posted supplemental investor materials regarding the first quarter results on our website. With that, I'll turn the call over to Ed.
Edward West: Thank you, Brad, and welcome, everyone. I would like to convey the following key messages today. First, we executed on our priorities in the first quarter and the financial results came in ahead of our previous expectations. Second, market conditions for FIs and fintechs particularly in the U.S. continue to evolve in a favorable way for Cardtronics and our retail partners. Third, early indications and interest levels in our new Allpoint+ retail deposit network are encouraging and is additive to our growing FI pipeline in North America. Now, let me start with a brief recap of our results for the first quarter. On a consolidated basis, revenues were $318 million and adjusted EBITDA was $61 million for the first quarter, both of which were solid results given some of the headwinds we faced this quarter and came in better than we expected. We also generated over $20 million of adjusted free cash flow in the quarter, up significantly from just over $4 million during the year-ago period. Now, looking at our segments, we executed on several fronts in North America while we officially launched a couple of new solutions to the market; the Allpoint+ retail deposit network and cardless cash access in nearly 11,000 ATMs. Through our partnerships with the FIS, 47 FIs and counting today have cardless cash access through our ATMs. Additionally, we have now developed an API for fintechs to connect to our platform. Regarding our deposit strategy, our deposit-taking customers are expected to have access to nearly 1,000 of our deposit-taking ATMs by the end of the year. And the market in the U.S. continues to evolve. The financial institutions of all sizes are increasingly looking for unique, flexible solutions to help them grow in a cost-effective way. Pressure on banks to optimize their businesses is coming from many angles, from big tech, from new fintech disruptors, to traditional FIs of all sizes looking to efficiently grow their customer and deposit base. Most retail institutions are realizing that traditional branch networks are not an efficient use of resources and that branches are increasingly less relevant to their customers. Providing convenient, fee-free ATM access is still very important to bank customers. But owning a large ATM fleet is expensive and not necessarily an important differentiator. We can deliver an efficient on-demand solution for the FIs that can maximize ROI. Whether FIs are looking to reduce cost, simplify their operations or strategically expand, our suite of solutions can solve a number of needs for their business plans. Now, our end-to-end capabilities and ubiquitous geographic coverage in the U.S. are truly unique. And our value proposition is increasingly resonating with FIs of all sizes and we are seeing growing interest. In addition to the new Allpoint+ customers, we entered agreements with 19 new financial institutions to our Allpoint Network bringing with them over 200,000 additional cardholders during the first quarter. We also had success with bank branding, adding new relationships to brand over 1,000 units in the U.S. in coming periods. As I just mentioned, we're seeing interest from FIs of all sizes. 10 of the branding agreements signed this past quarter are with top 30 banks. Our Allpoint and bank branding surcharge-free offerings are the core of our strategy to drive more volume to our existing ATM locations. We executed nicely on this again in the first quarter, as our U.S. same-store withdrawal transactions were up 2% led by surcharge-free transactions up almost 10% for the quarter. Coming back to operations for a moment, one of our key priorities for delivering customer success and shareholder value is operational excellence. During the first quarter, the team continued to execute in an exemplary fashion. We had near record levels of ATM availability in North America, rolled out new products, and concurrently drove down unit cost. Operational execution, same-store transaction growth and the roll-off of 7-Eleven yielded nice operating leverage. Our gross margin in North America was up 180 basis points for the quarter. Let me conclude my comments on North America by saying that we built a differentiated network centered on convenient ATM locations at leading retailers and extensive partnerships with over 1,500 FIs in North America, all combined with unmatched experience and scale. We believe this network will serve as the underpinning of our strategy to grow in what we estimate will be a $15 billion market in the U.S. Today, we estimate that almost 90% of cash supply in the U.S. occurs at either a branch teller or bank ATM. And we are laser focused on this evolving opportunity. Now, let's move to our Europe & Africa segment. On a constant currency basis, revenue was down 1% for the quarter. This was a pretty solid result and, candidly, better than we expected given the headwinds and negative year-over-year comps in our U.K. business. Overall, same-store transactions in the U.K. were about flat for the quarter, the best result we've seen in a couple of years and impacted by combination of ATM removals across the market, consumer behavior, good weather and exceptional ATM availability resulting from new platform capabilities. Similar to the previous quarters, the U.K. business, which is the largest component of this segment, was down on revenues, driven by the significant reductions to the LINK interchange rate, in addition to the removal of about 3,000 marginally performing ATMs that did not warrant additional investments after the interchange rate cuts. Now, we continue to take action in the U.K. to manage through the headwinds. As a reminder, we were impacted by the second LINK rate cut on January 1 of this year. These arbitrary rate cuts have caused significant disruption in the marketplace. Since the LINK reductions were announced, we have changed approximately 2,300 ATMs to pay-to-use, and expect to convert an additional 700 ATMs to pay-to-use during the remainder of 2019. These are in addition to our removals. Our fast-growing Germany, Spain and South Africa businesses once again grew at double-digit rates as we continue to grow nicely in these markets. We added retail and touristic locations, and layered in bank branding and managed services arrangements. During the quarter we entered into agreements to place approximately 600 ATMs at retail locations across these markets. We also announced a partnership with ING Bank in Spain, enabling their 3.9 million domestic customers with fee-free access to our ATMs in that market. In South Africa, we initiated relationships with PRASA, the Passenger Rail Agency of South Africa, and Shell Petroleum to install ATMs at premium passenger railway stations and Shell Petroleum sites countrywide. Now, moving on to Australia, our revenues were down about 7% on a constant currency basis. Excluding the ATMs that were removed from service in early 2018, our revenues would have been nearly flat for the quarter. While revenues are still showing declines in Australia, conditions began to improve and stabilize in the market. We continue to manage the business for solid cash flows and believe we can turn this business back to growth in the medium term. Overall, we made good progress on our plans during the quarter and our results exceeded our expectations, largely due to the transaction performance in the U.K. Accordingly, we are raising our outlook for the year to reflect the first quarter's performance. I would now like to take a minute to briefly comment and give you some color on our top 5 priorities as outlined in our investor supplement. First, drive durable organic revenue growth. We remain focused on driving organic growth by rolling out new products, optimizing the productivity of our portfolio and driving more transactions to our network. We returned to organic growth in North America last year excluding 7-Eleven. And we see a pathway to growth across all of our segments over the medium term. In the U.K. and Australia, we are positioning a return to growth and extension into adjacent services. And in Germany, Spain and South Africa we expect to experience double-digit growth in revenue and adjusted EBITDA. Our second priority is to deliver operational excellence and portfolio optimization. We expect to benefit from scale and operating leverage as well as provide an enhanced customer experience with better controls and security. We plan to achieve this by further integrating our platforms, driving standardization across the business, fully roll out our new ERP and manage asset productivity with enhanced software and analytics. Our third priority is to create raving fans with our customers. Our solutions assist in solving customer growth and efficiency problems for our partners across both retail and financial services. Our strongest asset is the partnership we have with the leading retailers and 2,000 FIs globally, combined with the over 60 million Allpoint cardholders. Having a truly loyal relationship with all of these constituents is a sure-fire path for growth. Our fourth priority is to engender employee pride. We have a purpose-driven mission resulting from the delivery of convenient low-cost access to cash around the world. And we believe executing on our vision and making Cardtronics a great place for employees to learn and grow will drive long term success for the business. And our fifth priority is to deliver on our financial commitments and strong free cash flow. At the end of the day we are highly focused on long term growth in cash flow. We are investing for growth as evidenced by our product investments this year, but we are mindful that every asset and investment carries a return and we are accountable to deliver reliable growth in cash flow over time for our shareholders. And this brings me to my last topic today, which is a recap of our medium term growth plan that we reviewed during our Investor Day just a few weeks ago. Over the medium term, we expect to deliver roughly 3% to 5% revenue growth, with a corresponding adjusted EBITDA growth of 7% to 9%. This implies margin expansion resulting from scale and operating leverage. We expect to deploy capital into areas where we see quantifiable and tangible growth and continue to delever and drive towards our targeted net leverage level of 2 to 2.5 times. As we approach that level we expect to come back to you to announce either stock repurchases and/or dividends, when the time is appropriate. We believe we will reach these targeted levels within the next three to four quarters. During this period we also have the authorization to opportunistically repurchase shares should the occasion arise while we work to reach our targeted net leverage range. I'd now like to turn the call over to Gary to give some color on the results and the outlook.
Gary Ferrera: Thank you, Ed. I will start with a quick recap of our financial performance in the quarter. While we had a solid quarter, there are a few significant matters when trying to compare reported results to the prior year. First, the results are significantly impacted by the UK LINK interchange rate reductions, as this is the first quarter that has both reductions. Therefore, the UK LINK interchange rate in Q1 2019 was a full 10% lower than Q1 2018. Second, we had fairly strong currency headwinds compared to a year-ago, as the pound was considerably weaker against the dollar compared to Q1 last year. Third, we had the last of the 7-Eleven revenue in Q1, as there were a few hundred ATMs still in service in January and February of 2018. These remaining ATMs generated just over $5 million in revenues, but had a minimal amount of EBITDA contribution. Lastly, we had a non-recurring property tax benefit of $3.9 million related to our UK business in Q1 last year. As this was an expense item, this factor only impacted profitability measure comparisons. On an as reported basis, consolidated revenues for the quarter were $318 million, down 5% from the first quarter of 2018. On a constant currency basis and excluding the impact of 7-Eleven, our consolidated organic revenue growth rate was approximately flat for the quarter. Organic constant currency ATM operating revenues, excluding 7-Eleven, were up 1% in North America. This growth rate, which we expect to accelerate during late 2019 and into 2020, was driven by a U.S. same-store transaction withdrawal growth rate of 2%. We continue to see a double-digit growth rate of surcharge-free transactions at our company-owned locations in the U.S. This growth rate continues to be driven by increases in participating financial institutions within Allpoint and bank-branding that continued to drive consumers to our locations. The U.S. same-store transaction growth rate of 2% was solid and in line with expectations. Q1 was somewhat adversely impacted by weaker surcharge transactions, which were down 4% compared to nearly a flat result in Q4 of 2018. We think this sequential change was partly related to transitory factors, with harsh, extremely cold weather impacting a big part of the Midwest during the first part of the quarter. Also, there was a slight delay in this year's tax refund season. The North America revenue growth rate in Q1 was also adversely impacted by the removal of ATMs at Sunoco locations during 2018, as Sunoco was acquired by 7-Eleven. This transition to 7-Eleven's sister company operator adversely impacted the Q1 growth rate in North America by about 1%. Revenues in our Europe & Africa segment as-reported were down 8% for the quarter. Revenues were only down about 1% after adjusting for the changes in FX rates. When you adjust for the ATMs we removed early in 2018 as a result of the LINK interchange rate reduction, we estimate that our Europe & Africa segment would have had slightly positive organic revenue growth on a constant currency basis. Our UK business had some - had same-store transactions that were about flat for the quarter, and this result is a little better than we have seen recently. We believe the better-than-expected transaction performance in the UK was impacted by a few factors: first, more consumers migrating transactions to a smaller pool of free-to-use ATMs, as more ATMs in the market become fee-charging as a result of the LINK interchange reduction; second, continued declines in the total number of ATMs as banks continue to contract their ATMs and branches; and third, better weather relative to the prior year. The rest of our Europe & Africa segment continued to grow nicely, as Germany, Spain and South Africa each held - each had a double-digit top-line growth in the quarter. Transitioning to Australia, as-reported revenues were down 16% for the quarter, but that result was only down 7% on a constant currency basis, as the Aussie dollar significantly weakened over the past year relative to the U.S. dollar. This result in Australia is an improvement over the growth rate in the prior year, and we continue to see moderation in the rate of same-store transaction declines in this market. We were nearly flat on the top line, excluding the ATMs that were removed from service last year. Moving down in the income statement, the consolidated adjusted gross margin for the quarter is down about 60 basis points to 31.5% compared to 32.1% in Q1 2018. Adjusted for the non-recurring UK property tax benefit in Q1 2018, our adjusted gross margin would have been up about 60 basis points, driven by strong operational execution in our North America business, with margins up approximately 180 basis points. Adjusted EBITDA for the quarter was $61 million, a decline of 11% from Q1 2018. Absent the non-recurring property tax benefit in Q1 2018 and exchange rate movement, adjusted EBITDA would have been nearly flat for the quarter. This is in spite of the two interchange rate reductions in the UK. This result was better than we had anticipated and was mostly driven by better-than-expected revenues in the UK and strong cost management across the enterprise. Our adjusted EPS for the quarter was $0.35 compared to $0.46 in Q1 2018, and was mainly impacted by the same factors that impacted adjusted EBITDA. But we also had lower interest expense as a result of our late 2018 refinancing efforts that more than offset the slight increase in depreciation expense. Moving to capital expenditures. Our total spend for the quarter was $29.3 million, about half of which falls into the growth bucket. This is up from $20.7 million in Q1 of 2018. This result was about in line with what we anticipated and reflects the meaningful investments for our product enhancements in the U.S. We are still expecting approximately $135 million of CapEx this year. We continue to focus the organization on free cash flow. And as Ed mentioned, this measure remains one of our key priorities for the year. Our adjusted free cash flow for the quarter was $20.4 million, up almost $16 million from the prior year. The improvement in adjusted free cash flow was primarily related to positive changes in working capital and cash paid for interest, which was down almost $6 million subsequent to the previously mentioned refinancing of our balance sheet. I would just like to note that the only adjustment we make on our free cash flow metric, which is GAAP operating cash flow less capital expenditures, is to exclude movements in restricted cash related to settlement timing. Our daily settlement balances that include restricted cash can change materially between quarters depending on the day of the week and holidays and do not truly represent operational cash generated by the business in the quarter. Moving to the balance sheet, our net leverage ratio for the quarter was 2.8 times, about flat from last quarter. We continue to use free cash flow to reduce debt outstanding. And with our anticipated year-over-year EBITDA growth in the second half of the year of 2019, we'd expect to enter our target net leverage range of 2 to 2.5 times adjusted EBITDA later this year or early next year. During the quarter we paid down just over $24 million on our revolving credit facility and continue to have plenty of borrowing capacity and headroom on all of our covenants. In late March, we announced a $50 million share repurchase authorization. This authorization is meant to be an opportunistic tool available to the company whether we repurchase shares will depend on a number of factors, including valuation, business opportunities, leverage and other factors. We have not repurchased any shares to date. Next, I want to make note of a couple of GAAP and disclosure items in our 10-Q. First, like most other U.S. public companies, we implemented the new lease standard this quarter. While this had no direct impact to any of our reported GAAP or non-GAAP income statement measures, it did result in over $93 million in operating leases going on to our balance sheet as liabilities, related mostly to building leases. This truly is an accounting presentation matter that we do not anticipate having any impact to our reported income statement, cash flow or liquidity metrics. Second, we made a few minor adjustments in our segment reporting. The adjustments relate to internal cost allocations after we completed some functional integration during 2018, particularly in our technology and processing operations. Both 2019 and 2018 segment results are reported on the same updated basis in this quarter's 10-Q. Now let me turn to our 2019 outlook. Our first quarter results, especially at the bottom line were better than we anticipated. On our previous call we communicated that adjusted EBITDA could decline as much as 20% in Q1. The actual results were approximately half that amount, and it was mostly driven by better-than-expected revenues in the UK and strong cost management across the enterprise. With a solid first quarter under our belts, we're raising the outlook for the year. Our adjusted outlook is updated in our earnings release, and some of the key metrics are as follows: revenues of $1.3 billion to $1.36 billion, up $10 million on each end of the range; adjusted EBITDA in a range of $290 million to $300 million for the year, up $5 million on each end of the range; and adjusted EPS in a range of $2.01 to $2.12, up $0.07 on each end of the range. While we do not provide specific quarterly guidance, it continues to be a year of two halves. So I will provide some color as to how we anticipate the year unfolding. At this time, we're anticipating the remainder of the year to be in line with what we communicated on our previous earnings call. We continue to expect Q2 to be down on both revenues and adjusted EBITDA compared to the prior year. This is mostly due to the same factors that impacted our Q1 results: the two interchange rate reductions in the UK, a smaller but still significant impact from the property tax benefit in Q2 last year and foreign currency exchange rates. We currently expect Q2 to be down in the mid-single-digit percentage range on adjusted EBITDA, or approximately half of what we were down in Q1. Revenues could be down a couple of percentage points. We continue to expect top and bottom line growth starting in Q3, as we begin to lap the headwinds we are experiencing in the first half. With that, let me turn it back over to Ed.
Edward West: Thank you, Gary. So in summary, we are pleased with the performance and are encouraged by some of the key indicators in the business, including good surcharge-free transaction growth in the U.S., new branding agreements to brand over 1,000 ATMs with a mix of FIs of all sizes, a growing FI pipeline in North America, improved same-store transaction performance in the UK, Australia beginning to stabilize from an EBITDA standpoint, and continued double-digit growth in all of our growth markets. So Operator, we now like to turn the call back over to you to open up for Q&A session.
Q - Ramsey El-Assal: Hi, guys. Thanks for taking my question. I wanted to ask about - I mean, first of all, great same-store sales result in the UK. It was above our expectations. Can you talk about the competitive environment in the UK and how it's evolved post the LINK cuts? I mean, are smaller operators dropping out? Are you seeing sort of less competition in the market? If you can comment on that, that would be great.
Edward West: Okay, sure. Good afternoon, Ramsey. Thanks, thanks again. We are seeing some changes through there as you can imagine. Overall, the country just from the cuts that LINK put through, obviously, the number of ATMs in the country have come down considerably. There are fewer than 70,000. I think it's, frankly, down to about 63,000. We've removed ATMs, others have removed ATMs. We've read about and seen others, making other switches to pay-to-use. Again, just as I mentioned during the call, it's just - these arbitrary cuts have caused a lot of disruption in the marketplace. And, frankly, adds a lot of consumer concern from just having ubiquitous access to cash. As Gary pointed out in his comments, there is now a smaller pool of the free-to-use. And I think you probably saw a little bit of that benefit this past quarter. From our standpoint, we continue to make that mix change between - the balancing between free-to-use and pay-to-use, just based on frankly just the demand that we see and the economics of that particular location. We just need to make sure we get it right to be able to leave that ATM there. Then I would say, going forward, we'll just continue to monitor, monitor the markets and seeing transaction levels. We did benefit this past quarter, as well. We both pointed out and you pointed out it exceeded our expectations. The United Kingdom had seasonably very warm weather for the winter, which was terrific. Now, we're going into a period over the next quarter where it was actually warm going last summer. So probably the comps are a little bit more challenging. I would say 1 last thing that I think we benefited from, some new platform integration work on our end, and we saw absolute record availability for our platform, which really matters there in the U.K. because of the volumes that we experience across our network. End of the day, we're optimistic that we will get back, the market here will stabilize. We'll muscle through this situation that we've had to deal with. We'll get through that. It will balance out. And we'll get back to growth. The great news is Cardtronics, we're the largest operator there. We have a great asset base. We can leverage other things. We talked a little bit about that at the Investor Day. Marc talked about some of the things we're piloting. And we'll continue to work that and keep you up to date.
Ramsey El-Assal: Great, thanks for that. A follow-up for me on the Allpoint+, the deposit-taking capability, can you help us understand the economics of that program from sort of both the revenue and sort of the per-transaction economics from both a revenue and expense perspective? I'm assuming it generates more revenue. Is there an incremental expense element to it? How does it impact profitability, just a little more granularity on the sort of economic model would be helpful?
Edward West: Sure. So, as we just announced that a few weeks ago, with the new Allpoint+ retail deposit network, we're on a methodical way rolling that out across the country. The revenue model in that is a mix between both some fixed payments as well as transaction-based, based on the deposit. And there's just different structures depending on the financial institution that's joining in. And we're seeing a mix of that, and interest levels are, frankly at our all levels, whether it's a local community bank looking for more catchment and convenience for their customers, to national platforms who want to see a national level. And so, our structure and pricing is adjusted accordingly based on what the institution or the fintech will be looking for in terms of what their needs are. From a cost basis, yes, the costs are a little bit different, just because it's deposit taking. You're having to manage that. Ultimately, what we designed is a recycler, what we're rolling out. That would be a future capability. Right now, it would just have additional CIT activity, because of the deposits.
Ramsey El-Assal: Terrific. Thanks so much.
Edward West: Thank you.
Operator: Thank you. Our next question comes from Andrew Jeffrey, with SunTrust.
Andrew Jeffrey: Hey, guys. Thanks for taking the question this afternoon. Ed, I just want to ask about North America. Is U.S. in particular - it seems like as time goes on and as Allpoint surcharge-free transactions become more important to your revenue growth, the difference between both Allpoint and same-store sales, and then Allpoint and sort of revenue growth widens. Can you just comment on sort of what you think the right most relevant KPI is going forward? And I suspect the key benefit of this big increase in Allpoint aside from relevance of the network is at the gross margin line, right?
Edward West: Right, so good afternoon, Andrew. Thanks for the question. So just stepping back in the U.S., I really - I think it comes back to, as we outlined a few weeks ago, is the value and the benefit of what's really unique to us, which is this surcharge-free network, and where it's two-sided network, self-reinforcing on one side. You have key leading retailers in convenient locations in the other side, 1,500 financial institutions looking for convenience for their customers and efficiency of this. Where we see the growth here is adding on to that from both the penetration within those customers as well as new customers coming on and driving more and more transactions at those key locations. So, yes, seeing the transaction growth in these levels is what we're very focused on across the organization. So we talked about - our compensation is tied to that. We're working very closely with the various partners, whether it's the FI or the retail, to get better awareness. We're investing more in marketing programs. As I mentioned, we hired new Chief Marketing Officer, Paul Wilmore, focused in on this, bringing in additional analytics capabilities, understanding how do we continue to partner more and more in this area to drive transactions. Yeah, I think the best driver will be, is the transaction level at those key locations and getting more throughput. And then that's what will drive the margin. As I talked about earlier, that long-term outlook, the medium-term outlook, where you see EBITDA growth in excess of revenue, it just comes down to good the old fashioned scale and leverage across the business.
Andrew Jeffrey: Okay. So we'll keep focusing, I guess, on Allpoint transactions as sort of the key indicator then.
Edward West: Well, I would say surcharge-free, because, remember, it's I think the branding, bank branding and Allpoint. So this past quarter is a great example. I mean, it's wow, over 1,000 new agreements on ATMs to brand with institutions of all sizes, 8 of those being top 30 institutions.
Andrew Jeffrey: Okay. Thank you for that. And then just as a follow-up, you talk about Allpoint+ perhaps reaching 1,000 machines by the end of the year. Where do you think critical mass is in terms of when you go out and you talk to financial institutions, at what point do they have that ah-hah moment, where they kind of say, oh boy, that's - this gets really interesting for us?
Edward West: Well, you look at a particular market, well, this just first kind of stepping back on Allpoint+. As we talked about, this is a methodical rollout. We expect to be nearly 1,000 locations by this year, and that's going to continue on into next year. We're just going to continue to monitor and gauge that rollout. But let's just say an example where a financial institution may be moving into a new market or region. They can quickly overnight on an almost on-demand basis do it on a market where we filled out. For example, let's talk about Chicago, where I believe it's over 80 locations, we now have deposit taking in that market. Overnight, a financial institution can move up to be one of the top locations in density for their customers to take deposits on a very rapid basis. So it depends on the institution. It depends on the market. They want to see that presence and it depends on the size of that. I would say the other one is the national. For those that are interested on a national basis, obviously they're monitoring the rollout, the cities where we're doing it. We're in close discussions with several organizations, and we're rolling out some of these markets based on what we hear in those conversations. Everything we're doing in trying to roll out is very well informed.
Andrew Jeffrey: All right. Thanks.
Edward West: Thank you.
Operator: Thank you. [Operator Instructions] Our next question comes from Kartik Mehta with Northcoast Research.
Kartik Mehta: Hey, good afternoon. Ed, I wanted to go back to your commentary, I think, at the Analyst Day and today about getting back to positive growth in the UK. And you had a very good quarter this year, this quarter. And I'm wondering with LINK transactions declining about 8%, what strategy you'll take so that you can get back to revenue growth in that geography.
Edward West: Yeah. Good afternoon, Kartik. So as you pointed out, it was a decent quarter given all the headwinds that we had, which is two rate cuts from LINK and then we have another quarter that we're in right now, where it has a year-over-year negative impact of the two. And then the comps, you have one a little bit more benefit in the back half of this year. We're doing a lot of different things, different product related. Marc walked through a pilot that we're doing with our partner, Vaultex, and three large financial institutions in the market that's being piloted. It all stems back to our scale, size and experience there. We are the largest operator in the country, and having countrywide depth and resources and how we leverage those capabilities and assets into adjacent activities is what we're working through. And also we do believe the market will stabilize where, yes, transactions have been coming down, but so has capacity. And frankly, we think our infrastructure can benefit many, including the banks and others, as they reprioritize their resources. As we talked about, our network there is as large nearly as the three largest banks combined. So there is an efficiency for them, as well, by us helping serve the community there.
Kartik Mehta: And then just, Ed, your thoughts on U.S. trends. I know, they decelerated a little bit in the first quarter compared to third and fourth quarter of last year. Any concern there or was this just in line with expectations and you'd expect those trends to kind of reverse as you go through the year?
Edward West: Actually, it - we were pleased with where it came out. Frankly, surcharge levels came in back, where we had been experiencing. If you'll recall from our previous conversations, third and fourth quarter actually did a lot better than what we had been used to on a surcharge basis, where frankly, it was nearly flat. And as Gary pointed out in his commentary, surcharge levels were down about 4% for the quarter. And largely, that was the first part of the quarter, January, February, where the country, the Midwest got walloped with the cold and harsh conditions. But after that, in March, we saw that come back up and improve in March. So we are not concerned about that. I think that was just transitory and weather-related, and surcharge-free transactions are doing well.
Kartik Mehta: Hey, thank you very much. And I really appreciate it.
Edward West: Thank you.
Operator: Thank you. And our next question comes from Charles Nabhan with Wells Fargo.
Charles Nabhan: Hi, guys. Thanks for taking my question. Just wanted to follow-up with your previous comments on surcharge-free and surcharge same-store sales. Specifically, I'm curious as to why surcharge revenues were impacted by weather and tax-related factors to a greater degree than the surcharge-free transactions? Is that based on just the geography of the network? I'm just hoping you could comment on that a little bit to help us parse out that bifurcation.
Edward West: It could be multiple different things. As you point out, the geography. It could be from the location. It could be the demographic of the use and a convenient space of that. And then just in terms of the lifestyle of who that is. There are a lot of different factors, but those are the first couple that come to mind. Gary?
Gary Ferrera: And remember, there's not a lot of outside factors pushing surcharge, as they are pushing surcharge-free, right. Surcharge-free is growing, because we're adding bank branding, we're doing all these things. Those don't always necessarily directly impact surcharge. So I think that's probably one of the main reasons.
Edward West: Yeah. And then on the surcharge basis, which is more convenience based, you can have other activities. What we've had before in the big lottery activity, where you'll see spikes in demand versus something that's a little more constant on the surcharge-free basis.
Charles Nabhan: Okay. Great. And just as a follow-up, thinking about some of the optimization initiatives you've undertaken in the past year in the UK and Australia, I was just curious as to whether you were done reducing the fleet there and if you could potentially see yourself at a point over the next year or so where you're even adding ATMs? Or looking outside of that at some of your growth markets, Spain, South Africa, Germany are you in a position or have you given any thought to potentially expanding, but expanding through M&A in any of those areas?
Edward West: So a couple of different things. First of all, every investment stands on its own merit. So right now where we're investing is obviously in North America, Spain, Germany, South Africa, where we see very good returns on growth. We've gone through to continue to optimize the portfolios, as you point out, between the UK and Australia. And just we'll see when as those markets straighten out and have better conditions in which we would want to invest. Otherwise, we have good investment opportunities in these other markets and attractive growth and returns. Separately, with respect to M&A, as we talked about at the Investor Day and as we've talked about over the last year, we are highly focused on integrating operations and driving organic growth. If we see things that offer a very attractive and short return on that attractive return that leverage our current capabilities, we would look at that. But in terms of the markets you mentioned, I'd say, we're focused on continued execution. Gary?
Gary Ferrera: No, I completely agree.
Charles Nabhan: Got it. Thanks for the color guys.
Edward West: Thank you.
Operator: Ladies and gentlemen, that concludes the question-and-answer session of today's call, as well as today's conference.
Edward West: Great. Thank you very much.
Operator: You may now disconnect, and have a wonderful day.